Operator: Good morning, ladies and gentlemen, and welcome to Genworth Financial's Fourth Quarter 2025 Earnings Conference Call. My name is Lisa, and I'll be your coordinator today. [Operator Instructions]. As a reminder, the conference is being recorded for replay purposes. [Operator Instructions]. I would now like to turn the call over to Christine Jewell, Head of Investor Relations. Please go ahead.
Christine Jewell: Thank you, and good morning. Welcome to Genworth's Fourth Quarter 2025 Earnings Call. The slide presentation that accompanies this call is available on the Investor Relations section of the Genworth's website investor.genworth.com. Our earnings release and financial supplement can also be found there, and we encourage you to review these materials. Speaking today will be Thomas McInerney, President and Chief Executive Officer; and Jerome Upton, Chief Financial Officer. Following our prepared remarks, we will open the call for questions. In addition to our speakers, Jamala Arland, President and CEO of our Closed Block Insurance business; Gregory Karawan, General Counsel; Kelly Saltzgaber, Chief Investment Officer; and Samir Shah, CEO of CareScout Services, will also be available to take your questions. During this morning's call, we may make various forward-looking statements. Our actual results may differ materially from such statements. We advise you to read the cautionary notes regarding forward-looking statements in our earnings release and related presentation as well as the risk factors of our most recent annual report on Form 10-K as filed with the SEC. Today's discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. In our investor materials, non-GAAP measures have been reconciled to GAAP where required in accordance with SEC rules. Additionally, references to statutory results are estimates due to the timing of the statutory filings. And now I'll turn the call over to our President and CEO, Tom McInerney.
Thomas McInerney: Thank you, Christine. And thank you for taking the time to join our fourth quarter earnings call this morning. Genworth reported net income of $2 million with adjusted operating income of $8 million. This quarter's results were driven primarily by strong performance from Enact, which contributed $146 million to Genworth's adjusted operating income, partially offset by a loss of $114 million in our Closed Block, primarily from LTC. Our estimated pretax statutory income for our U.S. life insurance companies was approximately $71 million for the full year, including the net favorable impacts to annuities from equity market and interest rate movements. We will provide full statutory results in our annual filings later this month. Genworth ended the quarter with a healthy liquidity position, holding $234 million of cash and liquid assets. We also continue to advance our strategic priorities in 2025. First, we continue to create shareholder value through Enact's growing market value and capital returns. Our approximately 81% ownership stake in Enact remains a key source of cash to Genworth with $407 million received in 2025, fueling our share repurchases and investments in CareScout. Supported by these strong cash flows, we continue to execute our share repurchase strategy throughout the fourth quarter, making progress on our $350 million authorization announced in September. In 2025, we repurchased $245 million of shares. Since May 2022, we have repurchased approximately $828 million of stock as of February 20, reducing shares outstanding by about 24% from 511 million to 388 million. These share repurchases create meaningful long-term value for shareholders by deploying capital at prices we believe represent a discount to Genworth's intrinsic value. Turning to our second strategic priority. CareScout represents our long-term growth strategy and our vision for how aging care should work in the future. We are building an innovative consumer-focused platform that helps people understand, find and fund the quality long-term care they need while creating a capital-light, scalable, data-driven business for the future. CareScout is designed to engage families across the aging journey from navigating care decisions today to preparing for future needs. Our services business often begins with adult children helping their parents find care, many of whom will become the next generation of long-term care insurance customers. Our insurance products are being built with that in mind, combining financial protection with access to personalized services when customers and their family members need them the most. This integrated approach allows us to support families in moments of urgency while building long-term relationships and recurring revenue streams. Underpinning it all is continued investment in technology and AI. We are leveraging and plan to continue exploring additional capabilities for AI-enabled tools and automation to improve human-centered customer service at scale in order to strengthen underwriting risk management and enable more efficient capital deployment and product development and marketing. Together, these and other capabilities will position CareScout to lead in a large and growing addressable market and to redefine how long-term care is delivered over time. Let's begin with a closer look at CareScout services, where we made significant progress in 2025, maintaining a rapid pace of network expansion. The CareScout Quality Network now includes roughly 790 home care providers with more than 1,000 locations nationwide, covering 97% of the U.S. population aged 65 and older. Each provider in the network must meet CareScout's rigorous credentialing standards, ensuring quality and consistency for people who rely on our services. The team executed well in the fourth quarter, facilitating 925 matches between LTC policyholders and home care providers in our network. We ended the year with 3,255 matches nationwide, well above our original target of 2,500 and our updated estimate of 3,000 and representing a 3x increase versus 2024. In the fourth quarter, we closed the acquisition of Seniorly, a leading platform with a large network of senior living communities that helps families with care planning and placement. Integration is progressing well and is expanding our reach into the direct-to-consumer market. Seniorly's team has brought deep industry and consumer experience, accelerating our efforts to scale beyond Genworth's preexisting policyholder base and add senior living options to our network. Credentialing of major national senior living providers is underway and is expected to be complete by the end of 2026. In Care Plans, our fee-for-service offering that delivers personalized guidance, we continue to see momentum with consumers and B2B audiences. Notably, we now have the ability to deliver care plans both in person and virtually on a nationwide basis. Care plans are built on a proven and growing assessment capability, enabling faster and more consistent care recommendations at scale. We continue to expand partnerships with employee assistance programs and carriers with referral volumes exceeding our expectations in 2025. Assessment volumes continue to grow and are expected to scale over time, supported by strong operational execution and cost discipline. Care Plans and Assessments enable recurring fee-for-service revenue opportunities supported by increased capabilities due to expanded distribution across carrier, employer and EAP partnerships. In 2026, we will continue to expand the range of services CareScout offers and the number of customers we serve. As the CareScout Quality Network continues to expand and brand awareness grows, we will drive increased traction with consumers. We also expect more of Genworth's long-term care claimants to choose CQM providers, stretching policyholders' dollars further while generating claim savings for Genworth over time. Turning to the Insurance business. We successfully launched Care Assurance, CareScout's inaugural stand-alone LTC insurance product in the fourth quarter. Care Assurance is now live in 40 states with 4 more pending approval. The launch of Care Assurance reestablishes our presence in the long-term care insurance market and lays the foundation for disciplined, scalable growth. We are actively engaging with partners to broaden our distribution channels and plan to launch worksite and association group offerings later this year. Importantly, Care Assurance has been designed and priced for the long term, reflecting the evolution of the market and a more conservative and durable product structure aligned with today's LTC environment. Care Assurance will be differentiated through a variety of additional services, which create a holistic care experience for our customers and their families, such as access to the CQN, wellness support tools and care planning services. This is a unique offering in today's market, blending coverage and services in a way others don't. To support sales, we're actively educating and equipping distributors to position Care Assurance effectively with our clients. While we expect adoption to build gradually, we are confident this product will create significant value for consumers and distribution partners alike. From services to insurance, CareScout is building a human-centered tech-enabled platform to simplify and dignify the aging journey. Our approach combines AI and digital technology with a human touch and reflects our deep expertise in delivering high-quality, personalized support for long-term care decisions. As we expand into new care settings, products and customer segments, we'll continue to grow organically while evaluating select inorganic add-on opportunities like Seniorly. Turning to our third strategic priority. We continue to actively manage our self-sustaining customer-centric LTC, Life and Annuity legacy business. Notably, this business is now focused exclusively on serving existing policyholders with no new sales and is being managed as a closed block. Our priorities here are clear. We aim to deliver a high-quality policyholder experience, maintain capital discipline and ensure long-term sustainable risk management. We are also leveraging AI and digital technology to drive more efficient and lower cost processes around customer service and operating performance. Jerome will provide additional detail on the resegmentation of our Closed Block later in the call. Genworth secured $100 million of gross incremental LTC premium approvals in the fourth quarter and $209 million for the full year in 2025, with average premium increases of 35.6% and 38%, respectively. We are in the 13th year of our multiyear rate action plan, which has achieved $34.5 billion in net present value since 2012, driven primarily by benefit reductions and premium increases. The MYRAP continues to be our most effective lever for stabilizing our Closed Block business. Next, I'll provide a brief update on the AXA litigation. As shared on our second quarter earnings call, the U.K. High Court issued a favorable judgment in July. Santander was granted permission in October to appeal the claim on which AXA prevailed and AXA was recently granted permission to cross appeal with respect to one of the claims, which was denied. The hearing on the appeal has now been set for July 21 through 23 of this year, and we expect the Court of Appeal to reach a decision within approximately 3 to 6 months of the hearing. If the ruling is upheld, we expect our total recoveries to be approximately $750 million, subject to exchange rates at the time. We do not expect to pay taxes on this recovery and recoveries are not factored into our capital allocation plans, but if and when received, would be deployed in line with our priorities, investing in CareScout, returning capital to shareholders and reducing debt. Before I turn it over to Jerome, I'd like to briefly reflect on the broader LTC environment. Recent federal budget debates have underscored a growing bipartisan focus on health care affordability and the long-term sustainability of public programs like Medicaid, particularly as the U.S. population ages. The very high LTC-related costs continue to be a meaningful part of that conversation. As demand continues to rise much faster than available resources, families are being asked to navigate an increasingly complex care landscape for their loved ones. This dynamic reinforces our conviction that the future of LTC will require not only flexible insurance and financing options, but also greater transparency, coordination, accessibility and support services for policyholders and their families. We are designing CareScout to help aging Americans and their families understand, find and fund the long-term care they need. As the nearly 70 million baby boomers continue to age, CareScout will serve as a complete solution in a very fragmented market built for the realities of today and in the future. Now let me turn the call over to Jerome to walk you through our financials and business trends in more detail.
Jerome Upton: Thank you, Tom, and good morning, everyone. I am pleased with our strong performance in 2025. We continue to advance our strategic priorities and further position the company for long-term success. Our disciplined capital allocation balanced returning capital to shareholders, reinvesting in opportunities that support long-term growth through CareScout and continuing to strengthen our financial flexibility. Enact delivered another quarter of strong performance, supported by a strong balance sheet and capital and liquidity positions with returns that enabled our own capital allocation priorities. At the same time, we continue to make meaningful progress advancing CareScout and enhance the self-sustainability of our Closed Block. I will begin this morning's discussion with our fourth quarter and full year financial results, followed by an update on our annual assumption reviews before covering our investment portfolio and an update on our holding company liquidity. Finally, I will share some guidance for 2026 before we open the call for Q&A. Before I cover the financial results in more detail, I would like to discuss the resegmentation we completed in the quarter to report our Long-Term Care, Life and Annuity businesses under a new Closed Block segment. With the launch of our new CareScout Care Assurance product, we formally ceased LTC sales in Genworth Life Insurance Company or GLIC. In recent years, there was very limited business being issued from GLIC. And now that new policies will be issued from CareScout, this new presentation better aligns with the way we run the business, including our continued commitment to manage these entities as a closed system. This is a presentation change only and does not change the economics of Long-Term Care, Life and Annuity products. We will continue to provide a breakdown of our results by product within the new Closed Block segment. Now turning to the financial results on Slide 9. Fourth quarter adjusted operating income was $8 million, driven by strong performance in Enact, offset by losses in our Closed Block and Corporate and Other. Enact delivered another strong performance in the quarter with adjusted operating income of $146 million to Genworth. The net reserve release of $60 million was higher than the prior quarter and prior year, reflecting continued strong cure performance. Our Closed Block reported an adjusted operating loss of $114 million. This was driven by LTC with an adjusted operating loss of $159 million as a result of a liability remeasurement loss related to the actual variances from expected experience or A/E as well as the net unfavorable impact of assumption updates. The unfavorable LTC A/E of $124 million pretax was driven primarily by higher claims and lower terminations in the capped cohorts. Life Insurance and Annuities reported adjusted operating income of $13 million and $32 million, respectively, both reflecting the favorable impacts of assumption updates. In Corporate and Other, we reported an adjusted operating loss of $24 million for the fourth quarter, reflecting continued investment in CareScout and ongoing holding company debt service, partially offset by favorable tax items. Turning to our full year results on Slide 10. Adjusted operating income for 2025 was $144 million, driven by Enact. 2025 was another year of strong execution and value creation at Enact with adjusted operating income to Genworth of $558 million. Genworth's share of Enact's book value, including AOCI, has increased to $4.4 billion at year-end 2025, up from $4.1 billion at year-end 2024. These results underscore Enact's continued contribution to Genworth's earnings and value. Our Closed Block segment reported an adjusted operating loss of $317 million in 2025. In LTC, the adjusted operating loss of $326 million was primarily driven by a remeasurement loss, including unfavorable A/E and cash flow assumption updates in the capped cohorts. In Life, the adjusted operating loss of $66 million for the year reflected continued block runoff, partially offset by a favorable impact from assumption updates. Annuities income of $75 million was driven by favorable assumption updates and spread income, though lower than the prior year as the block runs off. Since adopting LDTI, the Closed Block has experienced A/E losses driven by short-term experience relative to long-term assumptions. In 2025, these losses averaged $75 million per quarter, and we could continue to see losses at this level in 2026. However, results may vary with seasonal trends around the $75 million average as we typically experience net favorable impacts from higher mortality in the first quarter that trend worse through the remainder of the year. As a reminder, fluctuations in our U.S. GAAP financial results do not impact actual cash flows, long-term economics or the way we manage the Closed Block. Rounding out the full year performance, Corporate and Other reported a $97 million loss for the year, which was in line with the prior year, reflecting continued investments in CareScout and debt service expense, partially offset by favorable tax items in the current year. Now taking a closer look at Enact's performance underlying its strong financial results, beginning on Slide 11. New insurance written of $14 billion in the quarter increased versus the prior quarter and prior year. Primary insurance in-force grew slightly year-over-year to $273 billion, supported by both the growth in new insurance written and continued elevated persistency. Earned premiums in the quarter were $245 million, relatively flat to the prior quarter and prior year. As shown on Slide 12, Enact's net favorable $60 million pretax reserve release drove a loss ratio of 7%. Enact's estimated PMIERs sufficiency ratio remained strong at 162% or approximately $1.9 billion above requirements. While maintaining its strong balance sheet, Enact has continued to deliver significant capital returns to Genworth. We received $127 million from Enact in the fourth quarter. For the full year, Enact generated a total of $407 million in proceeds to Genworth, basically in line with our expectations for the year. Enact announced earlier this month that it received Board approval for a new share repurchase authorization of $500 million. Genworth will participate in the share repurchase program in order to maintain its overall ownership at approximately 81%. Enact ended the year with a strong balance sheet, well positioned for another successful year in 2026. Turning to a discussion of our Closed Block starting on Slide 13. We continue to proactively manage LTC risk and maintain and improve self-sustainability in the Closed Block through a comprehensive set of in-force management actions. Benefit reductions and premium rate increases continue to be our most effective tools for mitigating tail risk in LTC. As of the end of the fourth quarter, we have achieved approximately $34.5 billion of in-force rate actions on a net present value basis since 2012. This includes $1 billion related to rate increase approvals this year. These approvals were lower than in recent years, in line with our expectations following the large approvals we've secured previously. As part of this program, we offer a suite of options to help policyholders manage premium increases while maintaining meaningful coverage. These options enable us to reduce our exposure to certain higher cost features such as 5% compound benefit inflation options and large benefit pools. About 61% of our policyholders offered a benefit reduction have elected to take one, lowering our long-term risk. These initiatives have helped reduce our exposure to the riskiest LTC policy features. Notably, our exposure to the 5% compound benefit inflation option has decreased to less than 36%, down from 57% in 2014, and the percentage of our policies with lifetime benefits has decreased to 11%. Benefit reductions continue to provide risk resiliency beyond the point of election, helping to protect against potential assumption pressure in the future. The value recognized from benefit reductions already achieved increased by $2.3 billion in conjunction with our annual assumption updates this year and could continue to increase over time with any future changes to liability assumptions and as we approach peak claim years. Looking ahead, the remaining value we currently have left to achieve is approximately $5 billion. We will continue to work with state insurance regulators to maintain and strengthen our claims paying ability through premium rate increases while supporting customers with a wide range of benefit reduction options as demonstrated by our strong track record over the past 13 years. In addition to the rate increase program and other benefit reduction options, we're reducing risk in innovative ways through the CareScout Quality Network and our Live Well | Age Well intervention program. The CareScout Quality Network provides direct claim savings and mitigates inflation risk via provider discounts. We continue to expect to benefit from these savings of $1 billion to $1.5 billion on a net present value basis in our Closed Block. Our Live Well | Age Well program delivers value for policyholders while also driving claim savings over time by delaying the onset of a claim. We continue to see strong engagement from our policyholders participating in the program. Connecting with our policyholders on Live Well | Age Well is also an opportunity to refer them to the CareScout Quality Network, which can further reduce the risk in our closed LTC block. We remain confident in the value these initiatives are expected to deliver to our in-force management program over time, and we'll continue to monitor their progress as they mature before incorporating them into our assumptions. As we have said before, we are committed to managing GLIC and its subsidiaries as a closed system, leveraging their existing reserves and capital to cover future claims. We will not put capital into these companies. And given the long-tail nature of our LTC insurance policies with peak claim years still over a decade away, we also do not expect capital returns. Next, turning to Slide 14. We completed our annual assumption reviews for the Closed Block in the fourth quarter. We are pleased that assumptions held up in the aggregate, and we remain confident in our ability to manage these companies as a closed system. Overall, the updates resulted in a net unfavorable impact to the GAAP adjusted operating loss in the Closed Block segment of $6 million after tax. As part of this year's review, we updated the LTC healthy life and near-term cost of care inflation assumptions to better align with recent trends. These updates also recognized favorable claim termination experience and reflected continued favorable experience in the future rate increase and benefit reduction outlook. These changes resulted in a net unfavorable $47 million pretax impact to the adjusted operating loss. The favorable $15 million pretax impact to life insurance adjusted operating income was related to updates to reflect the recent interest rate environment. Annuity assumption changes resulted in a favorable $25 million pretax impact to adjusted operating income, primarily related to mortality. Impacts to statutory pretax income were primarily driven by favorable changes to the prescribed assumptions for certain universal life and term universal life products with secondary guarantees, including mortality improvement. This was partially offset by unfavorable impacts in LTC and annuities. Slide 15 shows the pretax statutory income for the U.S. life insurance companies of $3 million in the quarter, including the net favorable impact of assumption updates. On a full year basis, we had pretax income of $71 million, down from the prior year, where results included a $355 million benefit from LTC legal settlements, which were materially complete by the end of 2024. Though the total statutory earnings from in-force rate actions decreased as a result of the lower settlement benefits, we continue to see higher income from IFA premiums as we successfully execute and implement our rate increase program. GLIC's consolidated risk-based capital ratio was 300% at the end of 2025 with capital and surplus of $3.6 billion. This was down from 306% at the end of 2024, reflecting higher required capital as we continue to grow our limited partnership portfolio, partially offset by statutory earnings in the year. The cash flow testing margin in GLIC remain in the $0.5 billion to $1 billion range at the end of 2025. Our final statutory results will be available on our investor website with our annual filings at the end of this month. Turning to our investment results on Slide 16. Our portfolio continued to perform well in a dynamic market environment. We remain primarily allocated to investment-grade fixed maturities that support our long-duration liabilities. Reinvestment activity continued to benefit the portfolio with new money yields again exceeding those on sales and maturities. New investments made within our life insurance companies, including alternatives, achieved yields of approximately 6.5% for the quarter. Net investment income benefited from solid base portfolio performance, along with steady contributions from our alternative asset program. Primarily comprised of diversified private equity, our alternative assets generated approximately 9% returns for the year. We continue to monitor our commercial real estate exposure. The portfolio is concentrated in high-quality investment-grade assets with conservative office exposure and performance has remained stable. Looking ahead, our liability structure supports a stable liquidity profile, allowing us to invest for the long term, hold high-quality assets through cycles and grow alternatives prudently within regulatory limits. Next, turning to the holding company on Slide 17. We ended the year with $234 million in cash and liquid assets. When evaluating holding company liquidity for the purpose of capital allocation and calculating the buffer to our debt service target, we exclude approximately $127 million cash held for future obligations, including advanced cash payments from our subsidiaries. Moving to Slide 18. Our capital priorities remain unchanged. We will continue to invest in long-term growth through CareScout, return cash to shareholders through our share repurchase program when our share price trades below intrinsic value and opportunistically retire debt. We invested $85 million in the CareScout Insurance Company in 2025 to support regulatory requirements as we advanced our strategy to launch modern funding solutions for long-term care. Additionally, we invested approximately $50 million to fund working capital in CareScout services in 2025 as we scale the platform, expanded its customer base and positioned the business for sustainable long-term growth. We also invested $15 million through the purchase of Seniorly, and we are very pleased with the value of that investment and the progress of the integration. We continue to return significant capital to shareholders, repurchasing $245 million of shares in 2025, including $94 million in the fourth quarter at an average price of $8.66 per share. We also repurchased an additional $38 million through February 20, 2026. Finally, we also retired approximately $7 million of principal debt in 2025 for $6 million in cash, bringing our holding company debt down to $783 million. We maintain a disciplined capital structure with a cash interest coverage ratio on debt service of approximately 8x. Building on the strong execution of our strategy and disciplined capital deployment in 2025, I'll now turn to our outlook and walk through some guidance and how we'll continue this momentum into 2026. First, as indicated on this earnings call earlier this month, Enact expects to return approximately $500 million of capital to its shareholders in 2026. Based on our approximately 81% ownership position, we expect to receive around $405 million from Enact for the full year. Second, we continue to create value for our shareholders through our share repurchase program. For the full year of 2026, we expect to allocate between $175 million and $225 million to share repurchases. As we have said before, this range may vary depending on market conditions, business performance, holding company cash and our share price. Third, turning to CareScout. In the services business, building on the success of our match growth in 2025, we are targeting approximately 7,500 matches in 2026, including matches to providers in both the home care and assisted living space. In addition to matches, we are also sharing our first revenue outlook. For the full year 2026, we expect revenue of at least $25 million from the services business. This reflects growing external demand as well as the revenue contribution from our legacy insurance companies, which continue to play a meaningful role as we scale the platform. We plan to invest approximately $50 million to $55 million in CareScout services in '26 as we continue scaling the business and expanding its reach. These investments will support the continued build-out of our technology platform, the addition of new products and care settings and growth across both consumer and B2B channels. We are also deepening carrier partnerships and enhancing operational infrastructure to support higher volumes, recurring revenue and long-term scalability. Following our $85 million investment to launch CareScout Insurance in 2025, which funded regulatory capital and start-up costs, we expect our incremental investment in 2026 to be much lower. The level of investment will vary based on sales volume and mix, investment performance and operating expenses associated with scaling the business. We are pleased with the progress we've made in CareScout this year and our continued expected growth in 2026. As we have said previously, it will take time to scale these businesses and reach breakeven. In closing, we are delivering on our strategic priorities while proactively managing our liabilities and risk. As we look to the year ahead, our focus remains on driving durable growth through Enact and CareScout, which serve as the foundation of our long-term value creation strategy. Our 2025 achievements have improved Genworth's financial strength, evidenced by our ratings upgrade from Moody's and positioned us well for 2026. We have greater financial flexibility and continued confidence in our long-term strategy, including our investment in growth through CareScout, our commitment to return capital to shareholders through targeted share repurchases and opportunistic debt retirement. Now let's open up the line for questions.
Operator: [Operator Instructions] I will turn the call back to Ms. Jewell to read questions received via e-mail.
Christine Jewell: Thank you, Lisa. We received a question around the importance of offering both services and insurance under the CareScout umbrella and why it makes sense to invest in both at the same time. Tom, can you please provide some additional color around this one?
Thomas McInerney: I think that's a very important question about CareScout's future growth. I'd start by saying the LTC market is fragmented. LTC care is very expensive and the annual cost of care inflation is significant and as shown in the CareScout cost of care survey that we've been doing for about 20 years, CareScout is the only LTC competitor that can deliver the full value chain in the LTC ecosystem. First, CareScout services is focused on delivering LTC care advice, providing assessments of LTC care needs, working with families to develop care plans and providing access to the extensive and cost-efficient CareScout Quality Network. CareScout services' target market is the 70 million baby boomers, 95% of whom never bought LTC insurance. CareScout services will help these baby boomers determine the care they need and help them find care providers and the 20% discounts from providers in the CareScout Quality Network will make the LTC care more affordable. For CareScout insurance, the very large population segments of the children and grandchildren of the baby boomers are about to find out how difficult it is to navigate the LTC ecosystem for their parents and grandparents as they're looking for care for them. And I think they'll be shocked at the very high cost of LTC care at $76,000 a year for home care and $125,000 in some markets for nursing home care. And we think the target market for CareScout insurance, the children and grandchildren of the baby boomers will rely on CareScout services to help their parents, and we believe they'll be interested in buying CareScout insurance and funding products to be better prepared for their own LTC care needs and the high cost when they reach their peak claim years when they're in their 80s. Samir, anything you want to add to that?
Samir Shah: Tom, thank you for that holistic contextual answer. I agree. Look, we're in the middle of an aging crisis, which many 70-year-old-plus population are feeling. And as we talk to the generation that follows after them, they are watching their long-term needs play out in front of them. Our ability to support consumers through both aspects of this through the history we've had over the last 40 years of supporting aging consumers and playing claims gives us a unique perspective to how consumers age and help them across their family needs, helping aging parents and in-laws with our services offering and then creating a lineup of insurance products that help folks with funding needs and services needs as they age through the process.
Christine Jewell: Great. Thank you, Tom and Samir, for that additional context. So Lisa, I'll turn the call back over to you, please, to take any live questions.
Operator: [Operator Instructions] It appears that there are no questions at this time. Ladies and gentlemen, I will turn the call back over to Mr. McInerney for closing comments.
Thomas McInerney: Thank you very much, Lisa. And in closing, I want to say we're pleased with the strong progress we've made across Genworth's 3 strategic priorities in 2025, supported primarily by Enact's performance and we're excited to continue executing on those priorities in 2026. We're confident in our ability to maintain this momentum and deliver on our objectives going forward. And I want to thank all of you who joined the call today and your investment and interest in Genworth, and we look forward to talking to you again next quarter.
Operator: And ladies and gentlemen, this concludes Genworth Financial's Fourth Quarter Conference Call. Thank you for your participation. At this time, the call will end.